Operator: Ladies and gentlemen, thank you for standing by and welcome to today's Innospec's third quarter 2020 earnings conference call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions]. I must advise you that this conference is being recorded today. I would now hand the conference over to your speaker today, Mr. David Jones, General Counsel. Please go ahead, sir
David Jones: Thank you. Welcome to Innospec's third quarter earnings call. Today's call is being recorded. Yesterday, we reported our financial results for the quarter. The earnings release and its presentation are posted on the company's site and will be available on the site for at least six months. During this call, we will make forward-looking statements, which are predictions, projections and other statements about future events. These statements are based on current expectations and assumptions that are subject to risks and uncertainties. These statements involve a number of risks, uncertainties and assumptions, including the effects of the COVID-19 pandemic, its duration, its long-term economic impact, measures taken by government authorities to address it and the manner in which the pandemic may precipitate or exacerbate other risks and uncertainties that could cause actual results to differ materially from the anticipated results implied by forward-looking statements. These risks and uncertainties are detailed in Innospec's 10-K, 10-Q and other filings with the SEC. Please see the SEC site or Innospec's site for these and other documents. In our discussion today, we have also included non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measures is contained in our earnings release, a copy of which is available on the Innospec's site. They are included as additional clarifying items to aid investors in further understanding the company's performance in addition to the impact these items and events have on the financial results. Also with us today from Innospec are Patrick Williams, President and Chief Executive Officer and Ian Cleminson, Executive Vice President and Chief Financial Officer. And with that, I will turn it over to you, Patrick.
Patrick Williams: Thank you David and welcome everyone to Innospec's third quarter 2020 conference call. As we remain focused on returning all our businesses to pre-COVID growth and profitability, I am pleased to report a solid improvement in our results over the second quarter of 2020. Operating cash flow was very strong and allowed us to repay all our external bank debt in the quarter. I am also pleased the Board has decided to maintain our dividend for the second half of this year at $0.52, bringing our dividend to $1.04 for the full year Performance chemicals delivered another very strong set of results with operating income up 33% over the same period in 2019. Our positive outlook for the performance chemicals was supported by a pipeline of new technology driven by increasing consumer preferences for products which are more natural, mild and environmentally sustainable. We also continued to support our customers in meeting new regulatory requirements, such as limitations on 1,4-Dioxane. As projected, global fuel demand began to recover in the third quarter, which drove increased sales in fuel specialties, although this recovery has been slower than anticipated. Gross margins returned to our expected range and operating income grew $17.5 million over the second quarter of 2020. Barring a second wave of COVID-induced economic shutdowns, we expect that demand for fuel additives will continue to move towards 2019 levels throughout Q4 and into 2021. In oilfield services, we remain focused on our strategy to reduce cyclicality by growing our DRA and production chemicals sales and by expanding the Middle East. In Q3, U.S. completion activity remained low, but was somewhat offset by increased drag reducing agents and production chemicals sales as previously shut-in wells came back online in the quarter. Our oilfield team have done a good job in restructuring their base cost and our expectation is they will retained a significant portion of these savings as activity levels recover. Now, I will turn the call over to Ian Cleminson, who will review our financial results in more detail. Then I will return with some concluding comments. After that, we will take your questions.
Ian Cleminson: Thanks Patrick. Turning to slide eight in the presentation. The company's total revenues for the third quarter were $265.1 million, a 29% decrease from $371.9 million a year ago. The overall gross margin decreased 2.3 percentage points from last year to 29.7% due to a strong prior year comparative in fuel specialties. EBITDA for the quarter was $31.5 million, compared to $51.1 million last year. Our GAAP earnings per share was $0.51, including special items, the net effect of which decreased our third quarter earnings by $0.20. A year ago, we reported GAAP earnings per share of $1.22, which included an adverse impact from special items of $0.18. Excluding special items in both years, our adjusted EPS for the quarter was $0.71 compared to $1.40 a year ago which was a significant improvement over the loss of $0.18 in the second quarter of 2020. Moving on to slide nine. Revenues in fuel specialties in the third quarter were $120 million, down 17% from last year, driven by a 12% reduction in volumes, combined with an adverse price mix of 5%. Gross margins were within our expected range at 33.6%, although they were down 3.9 percentage points versus a strong comparative quarter. This resulted in operating income of $22.2 million compared to $31.1 million a year ago. Fuel demand began to improve in the third quarter from its second quarter low point. On sequential quarter basis, operating income improved by $17.5 million over the second quarter of this year. Turning to slide 10. Revenues in performance chemicals for the third quarter were $102 million, up 2% from $99.9 million a year ago with 5% higher volumes and adverse price mix of 6% and a positive currency impact of 3%. Gross margins of 23.5% were up 0.9 percentage points and operating income was up an impressive 33% in the third quarter of 2019 to $12.4 million. Moving on to slide 11. Oilfield services revenues of $43.1 million were down by 64% on the same period last year, reflecting the reduction in customer activity in the U.S. onshore market. Gross margins were down slightly by 0.5 percentage points to 33.4%. Operating losses of $4.5 million for the quarter compared to an operating income of $10 million a year ago. On sequential quarter basis, operating results improved by $7.9 million over the second quarter of this year benefiting from cost reduction initiatives and the business remains on track to achieve breakeven EBITDA in quarter four. Turning to slide 12. Corporate costs for the quarter were $13.3 million and within our expected range, broadly similar to the $13 million recorded a year ago. The adjusted effective tax rate for the quarter was 23.3%, compared to 21.8% last year and increased slightly as a greater proportion of our profits are now being earned in higher tax jurisdictions. Moving on to slide 13. Net cash provided by operating activities in the quarter was once again excellent at $55.5 million, compared to $40 million a year ago. In the quarter, we repaid all our external bank debt and as at September 30, 2020, Innospec has $66.6 million in cash and cash equivalents and finance lease debt of $0.6 million, resulting in a net cash position of $66 million. As a result, we continue to have substantial liquidity headroom. And now I will turn the call back over to Patrick for some final comments.
Patrick Williams: Thanks Ian. Our results show that Innospec has started the recovery from the COVID impacted second quarter. We are mindful that economic uncertainty lingers and that a second wave of pandemic could delay a global recovery. The prospects for continued strong growth in performance chemicals are supported by secular consumer and regulatory trends which are driving demand for our technologically advanced products such as sulfate-free product lines. We are cautiously optimistic that demand and activity levels in our fuel specialties and oilfield services businesses will continue to improve through Q4 and into 2021. We exit the third quarter with a very strong net cash position, which enables us to point key organic growth projects and potential strategic acquisition opportunities that complement our business. Again, I am pleased the Board has decided to maintain our semiannual dividend at $0.52 per share, which brings our full year dividend to $1.04. Now I will turn the call to the operator and Ian and I will take your questions.
Operator: [Operator Instructions]. Our first question comes from the line of Jon Tanwanteng from CJS Securities. Please ask your question. Your line is now open.
Jon Tanwanteng: Hi. Good morning gentlemen. And thank you for taking my questions. And really nice job on the margin there. I was wondering if you could give us kind of a picture of how you expect that OpEx to trend into Q4. Earlier there was this pretty big sequential decline. Patrick, you mentioned a lot of that holding. But I was just wondering, what percentage of that actually comes back as this business maybe starts to trend back towards normal?
Patrick Williams: Sure. Ian, why don't you pick this up and then I will add to it.
Ian Cleminson: Sure. Jon, are you talking any businesses in particular? Or do you want o focus on oilfield or which segment do you want to go through?
Jon Tanwanteng: We can do oilfield first and then maybe on consolidated basis after that.
Ian Cleminson: Sure. So in the oilfield businesses, as you are aware, we took some cost initiatives in the second quarter. That's taken out roundabout $12 million of overhead costs. We expect that gain will stay within Q4 and into 2021. So we don't expect to actually have to add anymore overhead in. So any leverage we get off the topline will drop straight through. So we don't expect more issues --
Jon Tanwanteng: That's quarterly, right?
Ian Cleminson: That's quarterly, yes. So we expect that Q4 will improve over Q3. The aim inevitably is to have for EBITDA neutral. We think we can get that. We may even, with a following wind, maybe even get to operating income breakeven as well. So that's the next target on the list. So we are hopeful that our business will see some growth in oilfield. And we are hopeful that we can get to that breakeven EBITDA and maybe breakeven operating income position as well.
Jon Tanwanteng: Okay. And then on the consolidated operating expenses?
Ian Cleminson: Yes. In terms of the OpEx, I would say that you are broadly going to be in that similar range to where we were in Q4 last year, probably not so high-60s to low-70s number. I am giving you a range there, Jon, just because it's the final quarter and we have got some truing up to do. So I think anything from probably about $68 million to $72 million is a broad range and I think we would hope to calling it at the low end of that range.
Jon Tanwanteng: Okay. Great. That's helpful. And then just on the topline, as you head into Q4 and maybe actually going back to Q3. Can you give us progression of how demand trended through the third quarter and into October and kind of maybe any of the business where you saw the most improvement or I guess maybe some weakness?
Patrick Williams: Yes. I think if you look at, we will take it by business segment. If you look at oilfield services, we have definitely seen demand starting to improve in Q4 and it's off a very low obviously. But it's going to be interesting, Jon. We will see how oil prices pan out. We will see what COVID does. Because obvious it causes a supply demand issue. If demand is not there, you could have nobody who wants to supply again and go right back into where we were in Q2.But everything that we are seeing and how we have kind of cyclicality out of the oilfield services business with DRA and Middle East, we have definitely started to see demand increase for us in that business segment. In fuel specialties, you saw demand come back. It's come back quite quickly but we want to see it lot faster than it is right now. And that's strictly due to some of the countries that were going back to work and now we obviously see a pandemic coming back and a second wave. So that give us a little bit of concern. But overall, because we have our cost base set really well in fuel specialties and demand has come back, we have seen a pretty nice increase in Q4 as well, carrying over from Q3. So positive there. In performance chemicals, it's just been strong throughout. The guys have done a great job in that business. We have got great technology. We are well placed. And we are seeing very good demand in the performance chemicals going into Q4 as well.
Jon Tanwanteng: Great. Thank you. Last one for me, just you did a great job with the cash flow. You paid down debt. I assume you are going to keep putting it on the balance sheet. Are there plans to deploy that in the near term? Or are you going to hold on to that [indiscernible]?
Patrick Williams: I think, through some of these unknown times, we are going to hold onto it. Obviously, what we want to do is take care of organic growth first, because we are not paying multiple lines. So our best bet is in most conservative growth. So we will keep for organic growth. We will continue to pay the dividend. We hope to start increasing the dividend again going into next year and that's a likelihood because of our strong balance sheet. And then, we will look at buybacks when appropriate and if appropriate. But more importantly, I think it's a good time for us to build upon our strategy in looking at acquisitions that complement our business. And they are out there and we are looking that multiples are starting to come down into a territory that makes a lot of sense for us. So we are on the look. But I think if you look at it, it's pretty much a carryover that we tell you guys every quarter. Let's start with organic growth first and then acquisition growth and then we will put, obviously increase our dividend, as I said and potentially look at buybacks.
Jon Tanwanteng: Got it. Thank you Patrick. I will jump back in queue.
Patrick Williams: Thank you.
Operator: Thank you. Our next question comes from the line of David Silver from C.L. King. Please ask your question. Your line is now open.
David Silver: Yes. Hi. Good morning. I had a couple of questions. I think I want to kind of maybe go into the segment results for the quarter. And let me just see, but let's start with, if you don't mind, let's start with performance chemicals. So I guess I was wondering, usually when you discuss the revenue trends in the segment, you make a reference to maybe cost pass-throughs that affected the year-over-year revenue comparison. Could you maybe just discuss that and maybe just discuss the source of the price mix effect in performance chemicals that you cited? Thank you.
Patrick Williams: Sure. So what we said, David, on the call is that we saw a 5% increase in volume. That's probably the midpoint of the range of what we would expect. We also saw a negative 6% price and product mix. Now, I think it is important that most of that is due to raw materials. And what we are seeing at the moment is that we have got lower raw material prices than we had last year. So that's actually putting pressure on our revenues. We are not passing through the higher amount of raw materials. And then we had a positive 3% uplift from exchange rates. So overall, we saw a 2% increase in revenues. But then the important thing here, David, is that we are absolutely hitting that mid single digits volume. And without the pressure on raw material prices, that would have pushed the revenue line up a lot more.
David Silver: Okay. So the bulk of that 6% is raw material pass-through.
Patrick Williams: Pretty much all of it, David, yes.
David Silver: Yes. And would that be, so if I was to kind of like take that item or take that element and apply it to fuel specialties where I think you cited negative price mix effects of 5%, would that be a similar behavior there or similar causation?
Patrick Williams: Slightly different in fuel specialties, David. One of the things we highlighted earlier was that there was a very strong comparative quarter this time last year. And that was from our aviation products. So there is a stronger mix elements in that. But there is some raw materials, but not as pronounced as performance chemicals.
David Silver: Yes. And just building on that. Within fuel specialties, I was positively surprised by the performance in that segment. And quite frankly it's just what you referenced. My understanding is the portion that goes into aviation markets is significant. And my estimation, I mean should that element within fuel specialties should be significantly, down. So maybe if we could just talk about the volume decline at 12%? I mean, how much of that was allocated to, let's say, the aviation side? And how would you say the other key end markets within fuel specialties did volume-wise relative to aviation, I guess the diesel truck business and any other elements you might call out would be great? Thank you.
Ian Cleminson: Let me take that and then I am sure Patrick will have some comments from over the top. So I will cover the aviation piece first. So as you said, jet fuel additives are a relatively small portion of our sales mix but they have been impacted due to the drop in global jet fuel demand. Our AvTel sales however have been more resilience because they go into avgas from [indiscernible] and not into the general aviation market. And that includes personal aircraft, the crop dusting and so end-markets are being less impacted. So although we have seen a drop off in the jet fuel, at least we have not seen that as much drop off in the avgas sales. So that's the top side of it. I would say, on the diesel additives demand, that is probably anywhere between 85% to 90% of what we would normally expect at this time of the year. We have seen an improvement over Q2, no doubts, where when we actually saw all those demand actually stopped. So we are not back to where we would like to be, David, but we are getting close to that. So if you think about diesel additives round about 85% to 90% but the jet fuel is set through the floor right now.
David Silver: Yes, certainly. Okay. Thank you for the additional color there. I wanted to maybe shift to really a strategic question for Patrick. But you have talked consistently about opportunities for bolt-on M&A or something a little bigger. And then I think the new element this quarter, Patrick, might be your comment on the potential for a second wave. So this is more like a question of the practicalities of trying to get M&A done. So sometimes when markets get unsettled, companies look at their asset base differently and what's strategic and what they want to prioritize and hence the opportunities for some M&A. But then, when there is maybe a disruption to the market like a potential second wave, it may induce some potential targets to kind of pull in their reins a little bit, not wanting to sell at the bottom or not want to be viewed as a motivated seller. So from your perspective, from your experience, the potential for a second wave of pandemic, does that loosen up or does that make targets more willing to kind of meet you halfway as far as valuation or other deal aspects concerns? Or is this is the kind of market where it tends to dry up opportunities because people don't want to put themselves in a position where they might be viewed as motivated sellers or selling at the bottom. So you have talked about M&A. Just the practicalities of getting across the finish line in the current environment would be great. Thank you.
Patrick Williams: Sure. I think, as you know, we are very conservative in our approach with M&A and we remain that way. And I think as you go through the first wave of COVID that hit and you watched a lot of companies really buckle up their belts a little tighter, start looking at their assets a little harder and really a lot of companies started bucking up against bank covenant too. And so for us, we have always had such a strong balance sheet that we have the ability to weather storms like this. And I have always said in the past that in down markets is when you need to start looking to acquire. And we consider this a down market, obviously for different reasons, not driven by financially down markets but by a pandemic. But the pandemic flows back into financial balance sheets. And for us, we are going to be opportunistic. And I think if you look at a second wave which has hit some of the European countries as well, some of the U.S. states and other parts of the world, it hasn't changed from the aspect of a lot of companies looking at their business base and saying, what do we want to keep, are we buttoned up against bank covenants, what do we need to sell to get cash in the balance sheet. And for us, it really hasn't changed. We still look at things the way we should look at them. We run all the models that we should look at. But for us, it's being very, very stubborn on how we acquire and we will remain that way. And I think what the market has done though, is it's made a lot of companies look inside and say, what really fit our portfolio and what could we send out to market? What can multiple could we get on that? I think you have seen some multiple compression. I think that we have seen more businesses that we have had interest in than we ever had before. I would probably say, there is a lot of deals out there right now up for sale that has some complementary businesses to ours that we are looking at. But there is nothing yet that we are ready to pull the trigger on. But we will be very opportunistic when the time comes and we have great balance sheet to do that, along with still paying our dividend, increasing our dividend. And more importantly, as I said earlier in my comments is that funding our organic growth because that's your cheapest, that's your most secure and your cheapest growth. And so we are going to stay disciplined. We have got opportunities. Even though you have a second wave, it really hasn't changed that much from what we have seen yet. Now we are cautious, but we haven't seen anything change from the first wave.
David Silver: Okay. Thank you for that. I do have one other question, but I think I should get back in queue. I just want to make sure that there is at least one other questioner behind me. Otherwise you know the call may end. So any ideas, is there another caller and then I am happy to get back in the queue.
Operator: Yes, sir. We have another question queuing after yours.
David Silver: Okay. Thank you. I will get in queue. Thank you.
Operator: No problem. Thank you. Your next question comes from the line of Chris Shaw from Monness, Crespi. Please ask your question. Your line is now open.
Chris Shaw: Yes. Hi. Good morning everyone. How are you doing?
Patrick Williams: Good morning.
Ian Cleminson: Doing good.
Patrick Williams: Chris, how are you?
Chris Shaw: Good. First question, maybe you mentioned about what happened to the cost for the octane additives business. Did they get folded into fuel specialty this quarter?
Patrick Williams: So as you know, Chris, in the second quarter, we have the cessation of the octane additives business. We took a restructuring charge. So all future operating costs of that business are now wrapped up in that division. So we don't expect any future income statement impacts. There is a small accretion charge, which is basically depreciation charge on the environment provision. That still comes through our income statement. But that's how shown in the corporate costs. And that's about $4 million a year. But outside of that, there is no other costs associated with octane that will hit the income statement.
Chris Shaw: Great. But the business costs is still running as it got folded in the fuel specialties then, right?
Patrick Williams: Yes. We still produce octane for the aviation sector. That's now part of fuel specialties as it always has been.
Chris Shaw: So yes. So that means the margins were pretty good then for fuel specialties. Good job there. Could you just remind me, in oilfield how much of the business approximately is now outside of North America? I know you are making progress in the Middle East and all. But how much in total?
Patrick Williams: Yes. It's still pretty small. We have business in South America and we have got business in Middle East and some others areas of the world, China. But I would probably say, it's 10%.
Chris Shaw: Okay. Great. And then this is more of a broader, long term kind of question. When businesses are getting hit and things are down already, people like to makeup obviously pile on sometimes with a longer term negative stories. So you are obviously exposed to transportation fuel demand and fuel specialties and also in oilfield services. How do you think if transportation fuel demand is gong to run lower than GDP growth over the longer term, as some people think? I mean I guess oilfield still has a lot of geographic expansion and product expansion. But it seems like fuel specialties is a little more mature. How do you see that growing at even GDP rates or above? I am not saying that that's exactly what's going to happen, but I know a lot of people are trying to say that we are going to be moving on to electric cars very shortly or on a more aggressive basis than perhaps previously thought. So that would obviously impact demand. How are you guys thinking about that? I know obviously the performance chemicals business is a bit of a response to all that longer term. So just tell me what you can, I guess, or what your thoughts are?
Patrick Williams: Yes. I think if you look at fuel specialties, EVs are not going to affect demand whatsoever for the short period of time. That's a little longer out.
Chris Shaw: Sure.
Patrick Williams: What's affecting demand is strictly COVID right now. And so we have see demand increase from Q2 to Q3, we are starting to see the increase, we were starting to see the increase going into Q4. Who knows what's going to happen now. But I do think, over time, as we get control over this pandemic that you will see demand levels come back like they were in 2019. So it still, for us, remains as a GDP plus. And I think the one good thing about that business is it's asset light and it's got great margins and the conversion rate is very good. So great business to be in. Again, it's strictly a supply demand issue. And it is based off what's going on with the markets with the pandemic. So I think they will come back to 2019 levels. It's going to take some time. But again, it's just a strong business and it will remain that way. I think if you look at performance chemicals, we have a big runway of growth there because of all the technology we have, based off all the organic technology that we have right now in place. And that's obviously an area that we are looking from an acquisitive standpoint. So strong base there in performance chemicals. If you look at oilfield, it's basically DRA and Middle East. And you will see things come back. We are starting to see wells come back online in the U.S. market. We are starting to see drilling come back a little bit. The rigs increased a little bit as well. And so we are starting to see demand come back in the U.S. but a lot of our growth to take out cyclicality in the oilfield business, like we stated before, is going to be the expansion in DRA, which we are doing and we are adding more volume in the markets as we speak as well as the Middle East. And we have done both of those and I think as you see over the next three or four quarters, you are going to see that being more, a bigger improvement, I should say, in the overall portfolio for oilfield chemicals.
Chris Shaw: Great. Thanks guys.
Patrick Williams: You are welcome.
Operator: Thank you. Your next question comes from the line of Jon Tanwanteng from CJS Securities. Please ask your question. Your line is now open.
Jon Tanwanteng: Hi guys. Just a couple of quick follow-ups. Patrick, you mentioned twice returning to 2019 levels. I was wondering when do you expect that to be hitting? I understand that things are murky right now, number one. And number two, how much of that is actually new stuff that's coming on as opposed to just reengaging old volumes and old demand whether that's GDI or IMO or DRA? And maybe perhaps what your expectations are?
Patrick Williams: Sure. GDI and IMO have kind of been at a standstill, just due to the fact of the pandemic as well and its' not really been anybody focus. I think you will see it come back to 2019 levels. But again, Jon, all of that depends on the second wave. When are going to get control of it and when are going to start letting up again and get people out and travel. But I think some time in 2021, this should start going back to some type of 2019 levels. And again, that's when you will start seeing the GDI and IMO pick back up. So it's going to be interesting to watch, but we suspect and we expect that we will get to 2019 levels.
Jon Tanwanteng: And structurally, will your earnings at those levels be the same as they were in 2019? Or are there puts and takes to that given your cost savings, mix changes and these other stuff going around?
Patrick Williams: I think that remains to be seen. Again, if we get back to 2019 levels, I would say, yes, that's correct. And the other thing that we are looking at which we haven't talked about is that we are looking at a big technology right now with DRA for fuels. Right now, we are just in light crude and we are looking to get into heavy crude and into fuels. And hopefully, we will have something commercial here in the near term for the fuels business.
Jon Tanwanteng: Got it. That's helpful, Patrick. Thank you.
Operator: [Operator Instructions]. Your next question comes from the line of David Silver from C.L. King. Please go ahead, sir.
David Silver: Okay. Thanks. I will just warn you in advance that I have kind of a couple of big picture questions for you. So just as a preface, I mean, the only prediction that was worse than the accuracy of my earnings estimate was probably the pollsters for the current presidential election. Thanks for laughing. But it's the morning after and my thinking now is that this election and the next four years of leadership might turn on how people feel about one of the candidates, while both candidates differing opinions on the future of fracking, okay. So from your perspectives, Patrick, there is two candidates. It's a very tight race. Who knows what's going to happen in the back rooms here. But depending on who emerges, you might have two very different approaches to oil exploration in the United States. So from your perspective, I mean, how are you thinking about that? And how might that affect your oilfield services activities going forward? And I know it's very early, but you get paid to kind of look over the horizon a bit or look around the corners. I mean, in practical terms, I mean what do you think the range of possibilities are for domestic drilling activity and whatnot, based on how the next couple days turn out politically? Thank you.
Patrick Williams: Yes. Good question. When you look at this business and we have always said that you have got to take cyclicality out of it. And the only way to do that is to expand outside the U.S. And so whether it was politically driven or strategically driven, which it was for us, that's why we went into South America, that's why we are into Mexico, that we are into Middle East and that's why we developed our own DRA. So for us, that's the way strategically to take it out and it's also a way to fight off whichever President comes into the office, if Biden gets in and starts cutting back on fracking on what he says on federal land. If you look at the permitting bases, a lot of the federal lands have been grandfathered in, I would probably say, two to three years of permits have already been grandfathered in for federal land. So it would be awfully difficult for them, they can stop it, but it's going to take years before it negatively effects this business. You have a lot of land that's not federal land that people will just gravitate. After they drill on their permit on federal land, they will move off of federal land and go on to private land. So I don't think it's going to negatively affect us, per se. If you completely ban fracking which he says is not going to, he backtracked on that and I don't think he can, we are set up still well to make sure that we have diversified the portfolio. And that's what we have done. But I think, overall, it should not affect this business for at least two to three years, if Biden gets in office.
David Silver: Okay. And I have a smaller bore question and then one bigger one. The smaller bore one would be and I apologize if I missed this, but I did want to know whether IMO 2020 mandates and the development of your fuel additives solutions for that market, again maybe you could just give us a quick update on how much traction that part of your new product portfolio is getting? Thank you.
Patrick Williams: Yes. It's definitely getting traction, but it's small. But it's gaining as every month goes by, they have issues. And so whenever you have an issue, typically fuel additive is what cures it. So it's a small part of our business now. We haven't seen the increase in big sales, like we anticipate. It's just going to take some time. It is there, it's just going to take time.
David Silver: Okay. Great. And then the final question, again, is another kind of big picture kind of softer issue kind of question. And it has to do with ESG, okay. So your company was founded on the sale of tetraethyl lead and tetraethyl lead alone. And as of a quarter or two ago, you are now 100% out of that business, except for the avgas development. But you are out of pure TEL for automobiles and you are on to many other things, including many with environmental or health or safety benefits. And I have noticed from a number of my companies, there is just an increasing focus on ESG and those types of issues at the Board level. And I think, it is just me personally, but I think the corporate world now has reached kind of that inflection point where it's going to become more of a requirement as opposed to a nice thing to have. Can you just maybe give us a sense of either from the regulatory side, from major investors side, I don't know corporate responsibility, I mean, does it make a difference in the investment world that Innospec is now 100% out of the TEL business for automotive uses? And does that allow some socially conscious funds to consider adding you? Does it give you a different standing in any way? What benefits are there, if any, that you might cite from this making the final transition out of the automotive TEL business?
Patrick Williams: Sure. Ian, why don't you pick it up and then I will talk about the gold award we got from EcoVadis, et cetera.
Ian Cleminson: Sure. So you are right, David. ESG is a hot topic on our Board. What I would say to anybody on the call is we have just released our responsible business reports. And it's on our website. It covers a huge amount of the work that this organization is doing across all our businesses and it's a read. We share that with our customers. We share that with our investors. And increasingly, we get conversations about ESG with our investors. And I think when you look at our businesses, David, you are right, transitioning from TEL was a great step for us. When you look at we do in fuel specialties, we improve efficiency, we reduce emissions. In performance chemicals, we provide a lot of naturally balanced environmentally friendly products. And in oilfields, we improve efficiency and we protect assets. So a lot of what we do is green, it is efficiency related, it helps improve the environment. So we do an awful lot. I would encourage you to go and have a look that report. And if you would like to dig into it deeper, we would be more than happy to do that with you.
Patrick Williams: Yes. And I think just to add to what Ian is saying, is you have got to look at this from an overall perspective too, is that we have got the gold again for EcoVadis, which was much more stringent this year than it was last year. I think if you look at as a holistic too, you have got a look at the general Board. We just added another female member. And she is going to be a very strong asset to our company. And if you look at the report that Ian is referring to, it talks about less water, it talks about CO2 emissions, it talks about sustainability, it talks about the green wave and all the things that our company does to support that. So it is definitely high on everybody and more importantly to investors. And so it's really driving not just us, it's driving the whole market to really be focused on this whole ESG and this whole sustainability and responsibility market.
David Silver: Okay. Great. I appreciate that. Thanks very much.
Patrick Williams: No problem.
Operator: Thank you. We have no further questions. Patrick Williams, please go ahead.
Patrick Williams: Thank you all for joining today and thanks to all our shareholders, customers and Innospec employees for your interest and support. If you have any further questions about Innospec or matters discussed today, please give us a call. We look forward to meeting up with you again to discuss our Q4 2020 results in February. Have a great day.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for participating. You may now all disconnect. Thank you.